Operator: Good morning, and welcome to General Mills' First Quarter Fiscal 2026 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the call over to Jeff Siemon, Vice President, Investor Relations and Corporate Finance. Thank you. Please go ahead.
Jeff Siemon: Thank you, Julienne, and good morning, everyone. Thanks for joining us today for this Q&A session on our first quarter fiscal '26 results. I hope everyone had time to review our press release, listen to our prepared remarks and view our presentation materials, which we made available this morning on our Investor Relations website. It's important to note that in this Q&A session, we may make forward-looking statements that are based on management's current views and assumptions. Please refer to this morning's press release for factors that could impact forward-looking statements, and for reconciliations of non-GAAP information, which may be discussed on today's call. I'm here with Jeff Harmening, our Chairman and CEO; Kofi Bruce, our CFO; and Dana McNabb, Group President of North America Retail and North America Pet. Now let me turn it over to Jeff for some opening remarks. Jeff, go ahead.
Jeffrey Harmening: Yes. Thanks, and good morning, everybody. Before we start the call today for questions, I'd just like to share a few thoughts summarizing some of our key messages. And I think it's pretty evident. There's a lot of change in the world, a lot of uncertainty. I mean the same could be said of the food category. And there's been a lot of change within our business as you unpack the first quarter results and the Yoplait divestiture, which we're executing well, as well our Whitebridge acquisition, which we're also executing well. So there's a lot of change. But what I want you to hear from me is that amidst all of this we are staying laser focused and clear on our strategy, which is returning to profitable organic growth as the best way to create value for our shareholders. And importantly, we are increasingly confident that our approach is working. And I'll take you back as a reminder to Q3 of last year, when we told you we're going to make some significant investments to address price cliffs and gaps. And we said we're going to do that on Pillsbury and Totino's, and we saw really good results. And that gave us more confidence. So that in Q3 of last year, we told you that we would expand that to the cereal category, as well as soup and fruit snacks. And again, we saw a pound share growth on that in line, or ahead of, what we expected. And so coming into this year, we had a heightened degree of confidence that our approach is working. And -- at the same time, while addressing price is important, I mean, especially in this environment where consumers are looking for value, it's not sufficient to generate long-term growth. And so coming this year, we also said we're going to invest significantly in innovation and new product news, new brand campaigns and renovation across all of our top categories. And then we're going to support this with industry-leading HMM cost savings and transformational benefits. And so the other question is, how is that playing out? And the reason we're increasingly confident is playing out the way we thought that it was. So, so far, so good. We strengthened our pound share in 8 of our top 10 categories and now we're holding pound share in Pet. And we're continuing strong competitiveness in foodservices. As you probably saw, we've increased our growth and competitiveness in international at the same time. On the P&L, we expect our profit results in Q1 will be pressured significantly by our increased investment profile, but also by the impact from the yogurt divestiture and a few phasing comparisons. And we think that will continue into Q2, but importantly, it will improve in the back half of this year, certainly in Q4, but throughout the back half of the year. So I want you to know, from my perspective, just stepping back, just a little bit, we're really encouraged by the early signs of improvements we're seeing. And we have great initiatives for Q2. I'm sure we'll talk about fresh pet food. But that's not the only thing. I mean, our new product volumes are already up 25%. We have some other good new products coming in the second quarter, also backed up by really strong plans in baking and soup, and the fall and winter are key seasons for that. And we plan to improve -- continue our positive momentum in foodservice and international. And so again, with Q1 now in the rearview mirror and in line with what we expected, and increased confidence, we reaffirmed our fiscal '26 guidance. So with that, Jeff, let's open it up for Q&A.
Jeff Siemon: Great. Thanks, Julienne. I think we can go ahead with the first question. Thank you.
Operator: [Operator Instructions] Our first question comes from Andrew Lazar from Barclays.
Andrew Lazar: Jeff, maybe picking up on your comments. The ongoing debate in the food space, right, continues to be whether or not the current sort of challenging volume environment is more structural this time around than it has been in the past, or whether more of it is just a result of the significant pricing the industry was required to take combined with sort of a consumer that's under pressure? And I realize it's super early in your efforts. But as you've gotten some of the key price points in the right place and the other marketing levers can kind of start to work, as you said, you're starting to see some volume share improvement in a bunch of categories more recently. Yet I guess, if we look at NAR, right, volume did not yet improve sequentially from fiscal 4Q. So I guess what I'm wondering is, do you think recent results sort of support the thesis that while there are some external factors for the industry, maybe some of them are a little bit structural. There's still a lot more that in the industry's control and your control in terms of getting sort of volume back to bright?
Jeffrey Harmening: Yes, Andrew, I think it's a really good question, a really fair question. And we believe it's largely in our control. I mean if you look at -- if you look at the last year or so, volumes in our category are about flat, which is about 50 basis points below what we've seen historically, but not too far behind. And -- and we -- there are a number of factors for that. Probably the most important, we believe, is that we saw in decades worth of inflation in a couple of years. And so consumers are still recovering that as wages have not yet caught up with all that inflation. And so we think that's the biggest driver. I mean GLP-1s has a -- we think, has had a small impact so far. And consumers seeking value and it stressed consumer may be a little bit. But again, it's a 50-point gap versus what we have seen historically. The bigger gap is actually on price/mix. And historically, we see some price and mix. But in this environment, we -- where the consumers are feeling the way they are, that's actually the more difficult piece rather than the volume piece. So volumes are pretty stable. And as we look at our year, we don't -- we need to be able to hold share in our categories to achieve the results we suggested for the year. But we don't need to gain massive amounts of share to hit the guidance that we already said and get back to flat, or a little bit of growth. And so we think it's mostly up to our control. Look, consumers their habits change over time, and we've been really good at changing with them. I'll give you an example, like I mentioned GLP-1s was a little bit of a headwind. But as a result of consumers looking for that, they want more protein. And there's a reason why Cheerios Protein is off to such a great start. Or Progresso Pitmaster, which is high-end protein is off to a really good start. We introduced Nature Valley creamy protein, and we like what we've seen with that so far. Or that our granola business is doing well. And so even though you can see something in a structure -- you can -- may say, is that a structural headwind, there are companies who are focused on the consumer, we are right now have means to seek opportunities in that, and that's what we're doing.
Operator: Our next question comes from Robert Moskow from TD Cowen.
Robert Moskow: So a couple of questions. One is, I just want to make sure I understand the path back to volume growth. Are you still expecting that to happen by fourth quarter of this year? And I'm trying to reconcile. So if your category volume is flat, but you're holding or gaining share in 8 out of 10 categories, why is your volume reported down negative one? It would seem just optically that you would be a little bit above category volume growth, not a little bit below? That's my question.
Jeffrey Harmening: Yes. So let me -- let me have Dana McNabb take that math question from you, which is probably an important one.
Dana McNabb: All right. Well, Rob, thanks for the question. It is true what you're saying in terms of our volume. But if you look at our top 10 categories, the volume improved by about 1 point in Q1 versus Q4. The total didn't, and that is because flower and desserts were down, and they significantly over-indexed on pounds, not on dollars. What's important, I think, is that where we're putting the price investments, we're encouraged in almost every case that we're getting the volume response we expected. And this is particularly on categories in Q1 like refrigerated dough, on fruit snacks, on salty snacks. And I'd also call out our snack bars. Even though we're comping in a period where our competitor lost distribution, the elasticities we've seen on the investments are at, or ahead, of model. So we, again, are feeling very confident that these investments are working. Now there's a few places where we still have work to do. Our Totino's business, volume was down a little bit in Q1, but we are in the middle of a price pack architecture change right now, where we're moving from a bag to a box. And so we need a little time to sort through that. And then, of course, our Cereal business, we did see an improvement, second consecutive quarter of pound share growth. Really good momentum behind Cheerios protein, our granola business up double digits. Our Cinnamon Toast Crunch business, when you get remarkability right, and have great advertising and great product news, it works. But the pounds in that category were down. Our performance was still down, and we have a little more work to do. But again, what we're encouraged is that in our top 10 categories, pounds have improved. And we believe our plans get better each quarter through the year.
Jeff Siemon: Maybe, Rob, I'd just add one more point. If you get beyond North America Retail, we did see a shipment timing headwind in Pets to the tune of about 4 points. That's worth a little bit -- almost a full point to the company, about a little bit more than 0.5 point to the company. So that also weighed on total company pounds in the quarter.
Operator: Our next question comes from Leah Jordan from Goldman Sachs.
Leah Jordan: Just if you could provide more detail on your trends in dog food. I guess what can you attribute the slowdown in wilderness to? And how are you thinking about your ability to drive an improvement there? And then I was just also curious, on trends on pet treats, just excluding Whitebridge acquisition there, just given the discretionary nature?
Dana McNabb: Yes. So if I think about -- thanks for the question, our BLUE Pet business, our core pet business, our results in Q1 were generally in line with where we were last year. We held our pound share in Q1. Our dollar share is down just a little bit, about 15 basis points. In terms of what is working, we're really encouraged by our BLUE Life Protection Formula business. This is our biggest business. It grew dollars and pounds. We have the value right. We have really good comparative advertising and strong in-store execution. Our cat feeding business is actually doing really well. So BLUE Tasteful, mid-single-digit growth. Again, we have a really good taste preference claim, and the kibble and gravy new product. That's working well for us. And then our Tiki Cat retail sales, they were up double digits. We've got good nutrition, a science formula that's launched on across different cat life stages, really good omnichannel excellence. So these big businesses are working really well for us. And then our Treats business, that has been a challenge, that inflected to some positive volume growth in Q1. So there are some things that we're really encouraged are working well on our BLUE business. The two areas that you rightly referenced that we need to see improvement on our Wilderness business. In this business, we have to improve our total product proposition. So we're coming with protein news and new products, comparative advertising, stronger in-store execution, we have to get better there, and we believe our plans are much stronger this year, but again, more work to do. And then our pet specialty channel continued to be a challenge. And this year, we're bringing Edgard & Cooper. So that's the super premium business that we had in Europe. We're launching an exclusive partnership with PetSmart, and that's already in market in Q1, and our turns are in line, or a little bit ahead of expectations. So there's a lot that we like about our pet business that's working. And two areas that we know we need to get better, and we're encouraged by the plans that we have in place.
Leah Jordan: That's very helpful. And then I just wanted to step back and I have a higher-level question. There just seems to be a bigger debate around the industry scale versus complexity, and what's the right balance? I mean -- and you guys, you sound confident in the plan that you're putting forward today, but you've been battling a number of fronts over the last few quarters. So just maybe how do you think about what's the right balance? And as you go through driving better remarkability across your portfolio, what have been advantages, or disadvantages, with your portfolio mix today?
Jeffrey Harmening: Yes, Thank you. The -- well, I'm going to turn the question a little on its side. So which is to say the most important thing is to focus on the consumers, and what they're looking for, and what they want, and then delivering that to them. And whether that's through better advertising, or product news, or new products, or whatever the case may be. That is the most important thing. Whether you're in one category or 15, that's the most important thing to do. Scale has some advantages for us. It's allowed us to invest in our capabilities like digital technology, digitizing our supply chain and SRM, and doing bundling consumer offerings across categories of stores, especially in the fall and back-to-school are really important for us. So we do see some scale advantages from that. Especially working across categories. When we kind of understand the consumer, I think more deeply than many others can, who are only in one category because we see the consumer from many different angles. Having said that, we've never been a believer in scale just for the sake of scale. And I don't think that just because you have scale it automatically accrues benefits. You have to be able to have to use the scale that you have to advantage and to make sure you're -- through all of the complexity that you have that you're staying focused on what the consumer wants in that particular occasion and that particular demand space, if you will.
Operator: Our next question comes from David Palmer from Evercore ISI.
David Palmer: Thanks for the great commentary in the prepared remarks. It looks like you continue to expect very strong growth from innovation and contribution to growth from innovation, but it also looks like there's a little bit more of an elongated timetable of the price promotion investments stretching into the second half of fiscal '26, perhaps more than you might have thought a few months ago. Perhaps where are the biggest changes in your reality when it comes to certain categories where the price promotions or investments are sticking around a little longer? And perhaps what are the categories where you're, perhaps, seeing what you would hope to see where you can, perhaps, get a little bit more balanced with price versus volume? And I have a quick follow-up.
Dana McNabb: Thank you for the question. I think I'll start first with the price investment. And I think it's important to understand that initially, as Jeff said in his opening remarks, last year when we knew we had to improve value for the consumer, we had to move fast. And so the way we did that was we adjusted depth and frequency of promotion. And we are encouraged by the positive response that we saw. And as we shifted to this fiscal year, our focus has been on adjusting our base shelf price. Trying to get below key cliffs, or to make sure that we have a gap that's manageable to the competition. We need to do this across 2/3 of our portfolio, and we got the majority of that done in Q1, and again, results are ahead of what we expected. And we saw really good results on bars, on fruit snack, on salty snacks. We will complete the remainder of the base price adjustments in Q2, and that's going to make sure that we have the right market leading execution on our baking and on our soup season. And all of this gives us a guidance that we're on the right track. But as you pointed out, when you started the question, price is just one element of remarkability. Once we get the price rate, we're really focused on elevating our work on new products. We're moving from about 3.5% of net sales on new products to 5%. We feel really encouraged about the performance that we're seeing on things like Cheerios Protein, our Mott's bars. We have a lot of really good new products coming through the remainder of the year. And this just gives us confidence that this focus on remarkability and getting the total proposition right is the right thing to do.
David Palmer: Great. And then just a follow-up on pet. You mentioned the 5,000 coolers going into initially some -- a big competitor out there, as well over 30,000. What -- how does that work where you get past this first step? I mean is it in the plans that this will continue to ramp? Or are you digesting this first sleeve of coolers, seeing how it goes, and will modulate the growth from there? And I'll pass it on.
Dana McNabb: Well, we are excited to be moving from the planning phase of the fresh launch to the execution phase. And the plant production has started up really well. Our initial products are looking really strong. And as you mentioned, we're in the middle of installing coolers as we speak. So we'll have 1,000 coolers in place by the end of this month. 5,000 coolers by the end of our fiscal Q2. And our plan is to ramp up that distribution into the next calendar year in 2026. So again, so far, everything is going really well. We are encouraged by what we're feeling with cooler distribution. And I should remind you that we have over 50 years experience in the refrigerated channel. When you think about our Pillsbury business and our yogurt business, and so we feel like we have a very strong product and a measured plan for getting coolers that will increase. And again, we're feeling very good about this launch right now.
Operator: Our next question comes from Matt Smith from Stifel.
Matthew Smith: Kofi and Jeff. Kofi, I wanted to talk about the margin performance in the quarter, it was above your expectations. Can you provide a little more detail on the gross margin composition? I believe you called out the international timing benefit was about 3 points of that segment's net sales, or is that like 50 basis points to the overall company? And then how we should think about the phasing of inflation investment through the year from here?
Kofi Bruce: Sure. Sure. I appreciate the question, Matt. So I think as you rightly pointed out, we did flag that our profit performance in the quarter was a little bit better than expected on operating profit and EPS. Some of that coming through gross margin. The first factor, probably in a slightly heavier measure, was that our inflation phasing was a little bit lighter than we expected in the quarter. Probably closer to 2%, a little bit below the annual run rate of 3% that's sitting in our annual guidance. So that factor first, followed by the trade expense timing benefit in international, which would put it at about $20 million on the top and the bottom line. We expect both of these to kind of unwind largely in Q2. So given that these are timing-related items, as we see them unwind in Q2, I'd expect our operating profit to be down more in Q2 than in Q1. And I expect that, that doesn't change our outlook for the sort of first half aggregate profit looking roughly in line with Q4 of fiscal '25. We do think, kind of just as we look at the Q2 profit decline, it's important to think the supply chain phasing costs on inflation. I'd expect Q2 to be a little bit higher, probably maybe even above the annual run rate as we step into some of the inflationary pressure plus some inflation, or some inventory absorption headwinds. It's important to note we won't have any contributions from yogurt in the quarter as well. This quarter, we had 1 month of sales and profit in our results from the recently divested U.S. yogurt business. We'll start to see normalization of our comp and incentive comp benefits in Q2. And obviously, the international trade expense timing benefits will unwind. So there is a bit of a transitory effect here, both on margin and profit growth as you think about how to digest this.
Matthew Smith: And as a follow-up, you called out the trade expense phasing in North America retail was about a point of drag in the first quarter. Is that similar as we get into the second quarter, and then normalize as we get into the second half?
Kofi Bruce: Yes. You have it largely right. I would expect it to be a big drag in Q1 -- in Q2 as we're comping last year where we had Q1 and Q2 was effectively no trade expense. So it was a benefit relative to the other quarters in last year. And modest headwind in Q3 last year, and a huge headwind in Q4. So we expect those comps to turn favorable as we step into Q3, modestly and then a pretty significant tailwind in Q4.
Operator: Our next question comes from Michael Lavery from Piper Sandler.
Michael Lavery: Can you touch on what categories or brands drove the household penetration gains? And maybe how broad that was? And how much you feel like was driven maybe by pricing adjustments versus innovation or other factors?
Dana McNabb: Thanks for the question. As you stated, we did see our household penetration grow overall for NAR the first time since fiscal '22, really encouraged by that result. In terms of where we saw penetration improvement, we saw it on bars, on fruit snacks, on salty snacks, on our Cereal business. And we do believe that getting our price value, and again, this is about getting below key clicks on the shelf, making sure we have manageable gaps relative to the competition that was a driver of that penetration improvement. But also it's not a coincidence that where we had a great remarkability approach, where we had good advertising, really good new product innovation, or product quality, price pack architecture, that is where we saw the best results. We called out in the presentation, Cinnamon Toast Crunch is a really good example. Really good product news, great advertising. We have the price right on that business, and we gained pad dollar share and penetration. So again, we still have more work to do, but we believe that we are on the right track with these investments, and we're confident in what we're seeing so far.
Michael Lavery: Okay. That's helpful. And I just wanted to follow up on some of the comments in the prepared remarks around demand planning. I think it can be maybe an underappreciated challenge. But it sounds like you've got improvement there. Can you maybe elaborate on kind of how that worked and what some of the benefits are? And it's maybe a little surprising the human touch seems unhelpful. Can you just kind of bring that to life a little bit?
Jeffrey Harmening: So let me take that one a little bit, Michael. The -- I would start by saying, I mean, we have a phenomenal supply chain as you well know. I mean during COVID we showed that, we continue to show it. We showed it in the Q1 this year, whether it's productivity, or service, or low cost. I mean our supply chain is fantastic, and we've got a great marketing team, too. And over time, our forecasting has been pretty good. It's just taken us a lot to get to an accurate forecast. And so what you see us doing now is that we're having -- we were using AI and leveraging technology to get to good forecasting much more efficiently. And the importance of that then is it frees up our marketing team to do better demand generation. And I think that's why you're seeing some of these better ideas that we're talking about right now. Because our marketers are having more time doing marketing than forecasting. And then our supply chain people, they're not double checking numbers that people give and spending all their times and meetings looking at forecast. They're just trying to figure out, okay, making the right stuff, at the right time, in the right place. And you see our waste elimination improve. And so really what we wanted to highlight that it seems small, but it's actually quite large, and it's a great way for technology to enable a little bit better accuracy, but a lot more efficiency. And that frees up the talented people we have. We have a really talented team, really talented people to do what they do best. And that's what we wanted to highlight in this particular case.
Operator: Our next question comes from Alexia Howard from Bernstein.
Alexia Howard: Can I ask about your efforts on reformulation? You're obviously ahead of the game on the elimination of the artificial dyes, getting rid of those by next summer. But there are other state-level legislations that have been approved, for example, in Texas, I think there's something that's already been ratified by the governor. It's gone through, that's about 44 additive. So it's a broader list. First of all, I guess, as you've gone through your remarkable efforts with some of these brands, are the ingredient list and additives coming up as concerns for some group of consumers? And is that something that you're working through the portfolio to actively drive out, not just the dyes, but maybe other additives that people are concerned about? Or are you going to wait until the regulations and the legislation settles, which could be a year or 2 down the line, and then you'll do it once everything is very, very clear? Just trying to get a sense for how aggressively you're going after that, or whether it's really not something beyond the artificial dyes that you're focused on at the moment?
Jeffrey Harmening: Yes, Alexia, I would start by saying we're always -- we always do our best when we follow what the consumers are looking for. And that's kind of our North Star and why we have this remarkability framework. And as you know, 10 years ago, we took some certified colors out of tricks and that didn't work so well here in the U.S. By the way, it worked really well in Canada. And Canadian's moms loved it. It didn't work as well here. And that's because consumers in the U.S. weren't quite ready for it yet. 10 years later, the reason why we made the commitments we have is that consumers are more ready for this. An increasing number of consumers don't want to certify colors in some of their food. And so that's why we look to remove those. And we have better technology now than we did 10 years ago. And we can get customers what they want. Whether it's the colors they want, or the shapes they want it, the texture, or what have you. And so that's why we're undertaking our efforts. When it comes to the regulatory environment, I'll start with a couple of things. One is that, I mean, we've been around for 160 years, and now getting global federal and state regulation for more than a century. And so I have high confidence we can do that now. When it comes to things like colors, I mean, 98% of our K-12 school offerings don't have certified colors now, and 85% of our retail doesn't. So we're talking about a relatively small sample. What I will say without commenting on any particular state is that there are a lot of state regulations being brought up now. And I think there's a challenge in that. And it's a challenge really for consumers because there's a cost associated with trying to do something state by state, rather than a federal level. And ultimately, consumers will pay the cost for that. As well as confusion, how can something be good in one state and not good in another state? And so the -- we've always been a believer working at a federal level, working with health and human services as we have been, working with the FDA and the USDA to work on federal legislation and regulation that really makes sense for consumers. And we believe that's the best approach that we have right now. And so we're confident we can navigate this environment. We're making really good changes, really good progress. And -- but I think there's a challenge for the whole industry with a state-by-state approach. And it's certainly not just our challenge. And ultimately, I think it's better if we can get to something that's consistent on a federal level.
Alexia Howard: Great. As a quick follow-up, you mentioned that the pace of innovation is stepping up, I think, 25%, I believe that was in North America Retail. Are you able to say what percentage of sales are now coming from new products introduced over the last year, or over the last 3 years? Where are you at in absolute terms on that front?
Jeffrey Harmening: Yes, I'm glad you asked. Really, I'm really proud of the way our entire team is innovating. And we're at about -- we're roughly 5% of new products coming from new product innovation where we were at 3.5% a year ago. But I think there are a couple of important things that lie beyond that, which I want you to know. First, it's not that we're introducing more things. Its that really that what we're introducing, we think, has our bigger and better ideas with more staying power, which is not only good for this year, but in years to come. And that's true in North America retail. When you look at Cheerios Protein, for example, some of the granolas that we are bringing to market. Some of the Mott's fruit snacks that we're bringing to market, really good new product innovation. It's true in our pet food business, bringing fresh pet food to the market and investing behind that. It's true in international, where I mean, look, we grew Haagen-Dazs retail double digits in China in the first quarter. And the reason we did that was because we introduced stick bars. And so now we're taking that all over China, and it's really working well. And in foodservice. We have -- we -- again, we picked up share in foodservice have continued great momentum there behind some biscuit innovation. And so what I'm pleased with is not just one part of the company that's innovating better. We have all of the segments innovating better and by better, I mean I think bigger more on consumer trend ideas, and we're supporting those with investment. And so that's what's exciting to me.
Operator: Our next question comes from Megan Clapps from Morgan Stanley.
Megan Christine Alexander: I have a quick follow-up and then another question for Kofi, if that's okay. So the first is just following up on some of the earlier line of questioning. Jeff, I think you mentioned you don't need massive share gains to hit the guide. But based on some of the things I think Dana mentioned later, it sounds to me like maybe some category trends are softer than you expected. So could you just clarify how category performance has evolved thus far year-to-date relative to your initial expectations? And whether we need to see improvement in areas like cereal, for instance, to deliver on the guide? And just related as well, since you brought it up, Jeff, can you maybe just expand a little bit on the GLP-1 comment in terms of what you're seeing in the data that you track?
Jeffrey Harmening: Okay. I'm going to try to get to all your questions. You have a lot of good ones.If I miss one, that's because I just forgot. But I would say that the year so far has played out as we thought it would and the consumer environment is what we thought it would be. In terms of how our progress looks in Nielsen, our top 10 -- our top 10 categories in North America retail are about a point better than what we expected. And so -- it's when you get beyond that like Flower and Betty Crocker desserts and things like that, where you see a little bit softer. And look for those key baking season starts in September. So we'll see when the weather gets colder. But the -- but our top 10 are performing at or a little bit better, actually a little bit better than what we anticipated. So I would say broadly, consumer sentiment is what we anticipated. The growth in our categories is about what we anticipated. And certainly, our performance within those categories, growing share in our and foodservice and international are holding. That is kind of what we anticipated. So I would say so far so good as kind of as we expected. With the GLP-1s, there's been some impact on our categories but not significant yet. I would expect GLP-1 usage will continue to grow. Everything I read says that it will continue to grow. And -- and with that comes to reduced calories, clearly for those who are using GLP-1s. But also there's opportunity because we know that people taking those medications. We know a couple of things. One is that they are looking for more protein because people tend to lose muscle mass when they they're reducing their calories and they need more macro nutrients, things like fiber. And things like breakfast cereal are high-end. That's why Cheerios Protein, I think, is doing so well. It's good in protein. It's high-end fiber. By the way oats is also high in fiber. And so even though a macro trend that GLP-1 usage that we think will continue, and we'll put some macro pressure on some categories over time. There's also a lot of opportunity in that. And I want you to make sure that you hear that for us as well. And -- and one of the things we're introducing a lot of new products that we think will meet this demand. So we feel good about that.
Megan Christine Alexander: Great. That's super helpful. And then just a follow-up for Kofi as we think about pet phasing into the second quarter just because there seems to be a lot of puts and takes. Can you just help us understand a little bit what these -- how to frame these puts and takes? Just to keep in mind, there was lumpiness in 2Q last year. Wildernesses may be a bit softer. You also have the fresh pet launch. I also think maybe the shipment headwind was a bit bigger in the first quarter than you had talked about last quarter. So just with all those things in mind, if you could just help us think about how to frame phasing in 2Q, that would be helpful.
Kofi Bruce: Sure. I think it's fair to say we expected the shipment timing issue at Q4. It might be modestly larger than we expected. We're not expecting a change to the overall outlook for the year, and I'm not going to get in the business of making quarterly predictions on pet just because I've failed at that multiple times. There is some volatility quarter-to-quarter in that business just inherently in shipment timing. I think broadly, you have the contours right. We will start to see a modest contribution in revenue as we ramp up behind shipments on fresh pet. I think we're expecting some modest improvement as we step into Q2 and then into the back half of the year.
Operator: Our last question will come from Peter Galbo from Bank of America.
Peter Galbo: Kofi, maybe just one clarification. I think you said based on the puts and takes on Q2 operating profit in the first half of this year would be down kind of similar to Q4. I think that lands Q2 operating profit down like 25-ish percent, but I just wanted to make sure that my math on that was correct?
Kofi Bruce: Yes. I think your math largely works.
Peter Galbo: Okay. Super. And Jeff, maybe just a broader question, and this probably goes back to Andrew's first question. Dana spent a lot of time talking about getting below certain price cliffs, driving value. And I guess what we haven't really talked about is your competition, not so much on the shelf at retail, but the away-from-home channel is getting a lot sharper in terms of price points, in terms of trying to drive value in their messaging and even in the pricing that they're charging. Whether it's $5 boxes, $8 boxes. Just -- is the industry, or is the retail packaged food industry, adapting fast enough in your mind to be able to compete effectively against away from home that, again, seems to be much more focused on driving a value price point? And whether you've noticed just any share shift there that's become more pronounced as we've gotten just a plethora of kind of these offerings?
Jeffrey Harmening: Yes. The -- as far as speaking for the -- I probably won't speak for the whole packaged food industry, but I would like us to go faster rather than slower. But I would say that the -- if I look at away-from-home eating, just the traffic has been pretty -- has been quite stable and despite all the efforts of quick-serve restaurants and all. The traffic has been stable over time. And if you look at it, what the trends that we see here that low- and middle-income consumers are -- traffic is declining, in what we call the commercial channel or restaurants, and high-income consumers, call it, $200,000 or more a year is growing. And so it nets out to flat. And the challenge that, that particular portion of the business has with the value meals is that the inflation is growing faster than food at home. And quite a bit faster than food at home, driven by labor. And so even though you may see a lot of advertising about value deals and so forth, just note the traffic in commercial remains very flat. There is growth in the noncommercial channel, which is where General Mills over indexes in its food service business. And so we're very well positioned to capture the growth there. In the noncommercial, I mean, things like K-12 schools, and hospitality, and business, and industry where people are going back to work. And those channels are growing about 2% or so, and we're gaining share. And so any growth you would see would really be in that place, and we're very well positioned through our foodservice business to take advantage of that growth. And we are. And that's one of the reasons why you see our food service business continue to perform well.
Jeff Siemon: Okay, Julienne, I think we'll have to wrap it up there. Thanks, everyone, for the good questions and the good engagement. And the IR team is available all day for follow-ups. We look forward to talking to you next quarter. Thanks.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.